Operator: Ladies and gentlemen, welcome to the Second Quarter 2022 Badger Meter Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. It is now my pleasure to turn the conference over to Karen Bauer, Vice President of Investor Relations, Corporate Strategy and Treasurer. Please go ahead, Ms. Bauer.
Karen Bauer: Good morning, and thanks for joining the Badger Meter's second quarter 2022 earnings conference call. On the call with me today are Ken Bockhorst, Chairman, President and Chief Executive Officer; and Bob Wrocklage, Chief Financial Officer. The earnings release and related slide presentation are available on our website. Quickly, I will cover the Safe Harbor, reminding you that any forward-looking statements made during this call are subject to various risks and uncertainties, the most important of which are outlined in our press release and SEC filings. On today's call, we will refer to certain non-GAAP financial metrics. Our earnings slides provide a reconciliation of the GAAP to non-GAAP financial metrics used. With that, I'll turn the call over to Ken.
Ken Bockhorst: Thanks, Karen, and thank you for joining our second quarter earnings call. In the second quarter, we bolstered our track record of strong performance by delivering 12% revenue growth and 18% increase in operating profit and a 19% increase in EPS year-over-year. For the past three quarters, we've delivered double-digit organic sales growth, including mid-teens core growth in utility water revenues. Over the same period, gross profit margins have been within our tightened to normalized range of 38% to 40% even with supply chain shortages and significant economic impacts from inflation, COVID shutdowns and the ongoing war in Ukraine. Our focus on delivering the widest choice of smart water solutions across the water ecosystem and our operating execution illustrate that we are well positioned to weather macroeconomic challenges that may lay ahead. I'll talk about the current environment and our market outlook later in the call, but for now, I'll turn the call over to Bob to go through the details of the quarter.
Bob Wrocklage: Thanks, Ken, and good morning, everyone. Turning to Slide 4, our total sales for the second quarter were $137.8 million, a quarterly record and a 12.2% increase over the $122.9 million in the same period last year. The stronger U.S. dollar did reduce sales by approximately $2 million or about 1.5 percentage points in the quarter. Total utility product line sales increased 14.1% year-over-year. Strong order demand coupled with modestly improving production output and ongoing price realization efforts helped to offset continued sporadic supply chain challenges. Sales growth in the quarter was most notable in ultrasonic meters, ORION Cellular radio endpoints and BEACON software as a service sales. Order rates continued at a strong pace showing no inflection from the higher interest rate environment or potential macroeconomic softening. Even with the mid-teen sales growth, we exited the quarter with yet another record high utility water backlog. Sales for the flow instrumentation product line increased 3.8% year-over-year, led by double-digit sales growth in North America as the stronger U.S. dollar offset the organic sales increase outside of the U.S. Solid demand trends across the majority of end markets and applications was partially offset by supply constraints which limited production. Turning to margins. We were pleased with the operating margin improvement of 80 basis points year-over-year to 16% from 15.2% in the comparable quarter last year. Gross profit as a percent of sales in the second quarter of 39.7% was at the high end of our normalized range and improved 140 basis points sequentially from the first quarter of 2022. This was due to higher manufacturing output and the improving pace of price cost dynamics. As anticipated, despite continued favorable product mix trends, gross profit was down on a year-over-year basis due to widespread inflation across nearly every element of our cost structure. We maintained our value-based pricing rigor which partially offset these inflationary pressures. We remain confident in the margin resiliency of our business model. SEA expenses in the second quarter were $32.7 million, an increase of $1.3 million year-over-year due primarily to higher personnel and travel costs and other growth investments. As a percent of sales SEA was 23.7%, a 190 basis point improvement from the 25.6% in the comparable prior-year quarter. We remain disciplined in our spending, while simultaneously supporting the strong demand environment and our ongoing innovation focus. The past two quarters clearly illustrate the SEA sales leverage potential inherent in our business model. The income tax provision in the second quarter of 2022 was 24.4%, a modest reduction from the prior years' 25%. In summary, EPS was $0.57 in the second quarter of 2022, up 18.8% from $0.48 in the prior-year comparable quarter. Free cash flow of $18.1 million was $6.2 million higher than the prior year's $11.9 million due to higher earnings and working capital timing between years. Working capital as a percent of sales was 23.8%, a 100 basis point improvement from the prior quarter end. We continue to invest in working capital, most notably inventory, to ensure we have the best levels of availability for our customers during this time of supply chain challenges. This investment has supported our exceptional growth and generated strong overall returns on capital. We continue to take a disciplined approach to cash generation and deployment, which remains a core element of our business model and incentive compensation structure. With that, I'll turn the call back over to Ken.
Ken Bockhorst: Thanks, Bob. Turning to Slide 5. I wanted to spend a bit of time today on water quality monitoring to help investors visualize better the variety of challenges across the water cycle that our solutions help to solve. Water quality is a topic of great interest for our customers and investors and some of you that visited our booth at ACE. This slide walks to you four example applications utilizing real deployments to illustrate just a few of the ways in which real-time water quality monitoring is being used across the water cycle today. Let's take source water monitoring on the left. Having insight into real time levels of nitrates in the source water supply, especially after rains which can cause increased levels of common agriculture fertilizer, enables this city in Ohio to more effectively dial-in their treatment dosing to ensure safe drinking water quality for residents and optimize treatment related costs. Within water production and water delivery, our chemical free chlorine monitoring solution allows this U.K. utility to provide safe drinking water to residents while saving labor, eliminating the use of reagent chemicals and reducing costs. Turning to an industrial example. Our solutions enable a Canadian brewery to meet requirements for discharge monitoring without the expense and time delay that comes with manually collecting and testing samples. It also serves to provide an early warning to the unintentional discharge of beer, which we all know is of course very important. Finally, the Public Works Department in Memphis, Tennessee actively monitors the discharge from local industries into the wastewater system. This compliance step protects the city's infrastructure from pH corrosion and increases the efficiency and effectiveness of the wastewater treatment process. These application examples provide you with a sense of the breadth and scope of industries, customers and regions that can benefit both from a financial and regulatory standpoint across the water ecosystem. We remain extremely excited about the water quality growth opportunities ahead. Turning to the current environment and outlook here on Slide 6. In summary, our backlog order rates and bid funnel remains supportive of durable, long-term growth for Badger Meter. This momentum is the direct result of the consistent execution of our growth strategies, combined with our customer focus and operational agility, which has differentiated our performance. There is increasing market-wide concern about the potential for U.S. recession and rising interest rates to potentially dampen demand. Yet, the industry fundamentals that have proven to be resilient for Badger Meter in past during downturn still exist and have only strengthened in recent years. These include the critical nature of metering infrastructure, replacement driven demand, customers' long-term investment mindset, and more recently, stable SaaS revenue. The water industry secular tailwinds including demographic shifts in utility staffing and retirements, climate-related weather events and droughts, aging water infrastructure and technology adoption, all continue to support the dependable demand environment. These tailwinds, coupled with our innovative solutions in water quantity and quality, choice matters portfolio, and advancements in software and digital solutions that drive operational efficiency and sustainability for our customers, give us confidence in our ability to weather economic uncertainty ahead. In the near term, we will continue to manage the macro challenges of inflation and periodic supply chain interruptions in support of our customers. We will be disciplined in our capital allocation, utilizing our strong balance sheet to invest in production capacity and organic and acquisition-driven growth strategies, delivering value for shareholders. We published our bi-annual Sustainability Report last month, which serves to communicate the progress on our ESG-related goals and priorities, including minimizing the environmental impact of our operations and fostering a culture that is safe, inclusive and engaging for our employees. The report also showcases how our products create a positive impact by preserving and protecting the worlds' most precious resource, water. Finally, I want to highlight that Badger Meter has been selected to receive the 2022 Manufacturing Industry Top Workplaces Award. This award was based on the results of our first employee engagement survey conducted this past fall and is a testament to the strong culture and dedication of our employees worldwide. I want to express my appreciation for the team's hard work and dedication to serving customers globally. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is going to come from Nathan Jones from Stifel. Nathan, your line is now open.
Nathan Jones: Good morning, everyone.
Ken Bockhorst: Hi, Nathan.
Bob Wrocklage: Hi, Nathan.
Nathan Jones: I guess -- morning. I guess I'll start with the obvious one around that rapid decline we've been hearing copper prices over the last couple of months. I know it's become less of a piece of the mix over the years that you've increased the ultrasonic meters, radios, SaaS revenue. Can you talk about where you are -- what you're seeing in terms of the inflation now? Is inflation starting to flatten out for you with copper at these levels? Are your overall cost still going up, flattening out going down?
Ken Bockhorst: Well, I guess, let's -- we just frame copper by itself. First, obviously, we've seen the -- it's been on a wild ride clearly in the last three months. The recovery that you mentioned obviously started in the latter June 3, and has really didn't have any impact on our Q2 results and as we've talked about in the past, in addition to your comments about less sensitivity to copper exposure, we've always talked about a one quarter lag of how those market price changes in copper as a proxy for our by-alloy ultimately feather into the P&L. So if we just talk sequencing, we expect to see should copper stay where it's at, any favorable impact more Q4 than Q3. If you take the other cost bucket, I would say, we're still running at an elevated level and certainly feeling the inflationary pressures like many others in the industry. And so I think that's kind of gives you a color for the buckets specific to your question. I just wanted to frame that copper really is a more phased impact to our P&L and on a more delayed basis than some might expect.
Nathan Jones: Understood. When you look at the overall cost picture for you including this rapid decline that we've seen in copper and understanding the lag, are you still seeing or will you continue to see further inflation or have those things start to flatten out now with other input costs, obviously, copper going down and will you need to continue to push pricing to cover any inflation?
Ken Bockhorst: So I don't -- my personal view is I don't think we're done with inflation by any means. Certainly, when you talk about electronics and transportation and other things. So I think we would continue -- we continue to expect to see inflationary pressures moving forward and we'll do the same thing we've done really over the course of the last two years through the combination of our value-based pricing initiatives as well as in some cases, some commodity-based price increases. So I think that it's business as normal and will still continue to have leading and lagging effects as we've talked about over the last two years.
Bob Wrocklage: Yes. And I think the key point there is, when we embarked on value-based pricing a couple of years ago, it wasn't a project. It was embedding that methodology into the business to make sure that we're dynamic and reacting the trends, really proud of how we've managed through the most difficult inflationary period of my career for sure and feel really confident in the process to be able to do a great job throughout the cycle regardless of where it goes.
Nathan Jones: Yes. So industry rebound in gross margins within the quarter for sure. Utility budget is probably getting set right about now. There is likely to be some money coming from the U.S. government through the infrastructure build. Do you have any insights into what utility budget look lot for fiscal '23? Where do you think there's going to be more funding available just to utilities in general and then for your business specifically?
Bob Wrocklage: Yes. So, we look at this a couple of ways. One is, we're always looking at the full pipeline of what's happening and RFPs are still continuing at a very hot pace. Orders, even though we've shipped mid-teens revenue in the last three quarters, orders have continued to outpace that really exciting growth that we've shipped out the door. When utilities are continuing to order at that rate, obviously, they're very confident in their metering and water quality needs. Other statistics AWWA put out a report a couple of weeks ago about the bullish nature of the industry and I think they pointed out roughly 72% of all utilities are looking at implementing rate increases in the upcoming year. So all the things that we look at in terms of real activity that specific to Badger Meter and/or market reports from reputable sources, continue to indicate that the space that we plan is going to be very, very resilient.
Nathan Jones: Thank you very much for the color. I'll pass it on.
Ken Bockhorst: Yes, thanks.
Operator: Our next question comes from Andrew Buscaglia from Berenberg Capital Markets. Andrew, your line is now open.
Andrew Buscaglia: Good morning, guys.
KenBockhorst: Good morning, Andrew.
Bob Wrocklage: Hi, Andrew.
Andrew Buscaglia: So, maybe just following up on the last question, if we're looking out into the next several quarters potentially recessionary scenario, when you guys look past into how utilities act in these scenarios, what have you come up with in terms of how demand will ebb and flow? And I guess with that, you have the dynamic of infrastructure stimulus. So I guess what are you guys thinking with, I guess, longer term through like a worst-case scenario"?
Bob Wrocklage: Yes. so I will -- I'll share with you one specific example. So obviously, we spend a lot of time as you would expect thinking about exactly the questions you're asking. I was at a very large utility customer in May and I posed exactly that question of -- as if we head into a recessionary environment, higher rate environment, how do you plan to handle the next cycle, whether it's for next year or two years whatever. And a very quick and definitive response was, if we ran into budget issues, we would divert our money to continue our AMI projects. So that's very reassuring. As we talk to customers that they reaffirm how important AMI is to the resilience and future of their water systems. So we're -- we just -- we're at the ACE show and we conducted several interviews with consultants in the industry and talked with several customers that were there and really, as we've talked about the drivers behind AMI coming into COVID being very strong, and we thought we could see some tailwinds coming out of COVID. It's totally been reinforced by almost every discussion that we've had since.
Andrew Buscaglia: Okay, interesting. And maybe just switching gears on your free cash flow again, a really strong quarter, a nice snapback too from you kind of hold there in Q1 and, what are the dynamics in your -- within your working capital or inventory management that can play out through the remainder of the year? And how do you see -- do you guide it to talk to a target you're expecting this year?
Ken Bockhorst: So, I think very consistent, what we said in the first quarter. There really isn't a structural change by any means to our working capital philosophy, other than perhaps a temporarily elevated inventory balance to service customers in this supply-constrained environment. I think over the long term, no real fundamental change to primary working capital management and at the end of the first quarter, we talked about how clearly we thought the first half free cash flow would be weaker than the second half based primarily on some timing aspects and I would argue that holds true. I think the one, I guess, maybe modest change to that philosophy, not necessarily primary working capital related, but CapEx related is with our sustained success, with our strong demand environment and with our elevated backlog, largely caused by supply chain shortages. We are thinking a bit more about capacity expansion, more so than we have in the past. And so that's not a signal anything other than there may be some capacity expansion projects on the horizon, which would be great in terms of investing in the business and supporting future growth, but may serve as a temporary free cash flow headwind, but no real structural change to our primary working capital philosophy.
Andrew Buscaglia: Okay, great. Thank you, guys.
Operator: Thank you. Our next question is from Tate Sullivan from Maxim Group. Your line is now open, Tate.
Tate Sullivan: Hi, thank you and thank you Ken, for the comments on the water quality monitoring opportunity in the Slide five. Can you give an update to an integrating or do you have an effort to integrate BEACON into the water quality monitoring businesses and customers?
Ken Bockhorst: Absolutely we do. So we were proud to launch that at the ACE trade show in San Antonio. The largest trade show in our industry. So a lot of great customer feedback on it. Yes. Our integration efforts have really been outstanding. The team has done a great job. We're really excited and that's why we wanted to share on this call. Just some of the real examples that we've already had and we're certainly seeing positivity from many of these customers that Badger Meter had for so long on metering, absolutely showing interest in our water quality offering.
Tate Sullivan: And BEACON part of those already installed in some of those projects that you mentioned or part of those projects?
Ken Bockhorst: Not - -not yet that's -- that is future goodness.
Tate Sullivan: Okay. And then, I was just going over my notes from past years and you mentioned SaaS revenue as a percent of total revenue. Do you have -- can you give any updates on where it is and where you have longer-term goals for that SaaS revenue? And can we just assume it's accelerated since you talked about accretive?
-Ken Bockhorst: Well, it's interesting that we talk about this as a percent and it's clearly our overall goal to get that to at least double-digits to get that up to 10%. It's been really difficult to grow it as a percent of revenue when the rest of the revenue has been growing so well, so strongly as well. So it continues to grow sequentially. It continues to grow year-over-year. We're really excited with it. It remains at about the same percentage level that it was before. So there is nothing new in terms of where it is, but it's been growing the way that we're expecting.
Tate Sullivan: Okay, thank you. And last for me, please on the water quality, the projects you mentioned, are those new projects, sort of new installed equipment since your acquisition, more than a year ago now?
Ken Bockhorst: Yes. So, we have several more examples that we could give, that have been since the acquisition. Some of these are -- some of these have been in place as we talked about before. ATI in particular has had a very long standing great relationship with the majority of the U.K. facilities, s::can and several other countries. So we certainly have more examples with existing customers that we could share that we just thought these four were a nice broad array of the things that we already do.
Bob Wrocklage: And further, it's not like these water quality options are one and done. These are relationships much like the utility industry where they are established over time. You start with an initial sale and then as that technology proves itself, there is add-on sales along. So it's not a black and white line. These are relationships that have been around, and sales and transactions that have occurred pre and post-acquisition.
Tate Sullivan: Excellent. Okay, thank you.
KenBockhorst: Great, thanks, Tate.
Operator: We now have a question from Thomas Johnson from Morgan Stanley. Your line is now open, Thomas.
Thomas Johnson: Hi, congrats on a -- the strong quarter, yet again. I guess, it would be helpful if we could go back to the comments on capacity expansion for production. Maybe just if you could go into detail there about where that planned expansion would be and timeframe for that? I guess, it would be helpful, if we could kind of frame this up, just in terms of 2023 revenue potential and potential constraints to revenue without that capacity expansion. Thanks.
Bob Wrocklage: So, I think we'll keep it very general. The thought process here is, as we've been successful in the market and we've grown at mid-single digit utility water growth for the last three quarters as we continue to aspire for international growth with the development and launch of our international meters as well as just the backlog that we have today. It's simply a signal that we're thinking about capacity expansion more so than we have in the past. There are no finite plans. There is no specific facility targeted. There is no dollar amount that I can quantify for you. Just signaling that, that is a potential forthcoming use of cash. That's different than perhaps the level of CapEx that we've seen in recent years. So that's about a specific as we'll get on that today.
Ken Bockhorst: Yes. And I just think to add a little bit to that to keep in mind, it isn't that we haven't invested in any capacity for several years and all of a sudden we find ourselves jammed up. We have continued to increase capacity on specific product lines over the past several years. So it's just an ongoing extension and really the fact that, we get asked all the time of when are you going to start chewing into the backlog and the great news is we keep shipping mid-teens shipments and growing the backlog and with the positive sentiment from our customers. I guess to Bob's point, it's a signal that clearly we're optimistic about the future and looking more closely at our production capacity.
Thomas Johnson: Okay, great, thanks. That's very helpful. Maybe just one question on the backlog, since that seems to be a focus here. Some peers have expressed kind of varying strategies around pricing in the backlog. So I guess it would be helpful for us if you could kind of comment on the margin profile of your backlog, should we assume that is kind of in line with current margins or could that be possibly accretive and just possible shift in product mix in the backlog versus what you've been doing in recent quarters? Thanks.
Ken Bockhorst: Yes. So immediately, we don't even disclose backlog in total. So I don't think we're going to go very deep on the margin profile or mix of that backlog. I think the way to think about it from a pricing and pacing standpoint is to really look at how the gross margin performance performed over the back half of last year and now the first half of this year. And so obviously the inflationary pressures increased in the back half of last year, which narrowed our gross margin profile relative to the first half of 2021. We implemented some pricing actions in late 2021 that as we have not acknowledged in the first quarter of this year, take some time to manifest themselves in the P&L. We saw a lower-than-normal still within our tightened band of 38% to 40%. But on the lower end of that gross margin performance in the first quarter. And here in the second quarter, you see that margin rebounding to a certain extent. So I would tell you, as we talked about in the release, price cost is a huge dynamic and driving our current margin profile. I would say as we chew through that backlog, we have seen a modest improvement in the margins that are realized in the second quarter results. And so you can infer what you want to from that, but that's I think it's the limited extent that we'll talk about the different profiles. It does -- we don't necessarily have great authority, if you will, or practice to reprice backlog. We take every price increase individually. It depends on who the customer is and how much is in backlog and what future orders will be. So there is some degree of influence there but in large part, price increases are effective as of a certain date, Those play out over time and as we've mentioned in the first quarter takes some time to hit the P&L.
Thomas Johnson: Understood, thanks. I'll pass it back.
Operator: [Operator Instructions] We now have a question from Rob Mason from Baird. Rob, your line is now open.
Rob Mason: Yes, good morning. I just -- 
Ken Bockhorst: Hi, Rob.
Rob Mason: Ken and Bob, hi. I wanted to a couple of times during the commentary you noted the sporadic production interruptions, is still present in the operation? I'm just curious if you could speak to those, if those are -- I'm just curious how much those might be holding back revenue, if there's a way to quantify that for the second quarter? Are they getting marginally better holdings kind in the same place as we've gone through the year? And then I guess, I think, related to that is just around the supply constraints that you're dealing with, if you can give us an update there on what you're seeing and how that dynamic may be trending for you into the second half of the year?
Bob Wrocklage: Perfect. I thought maybe you are separating the two. So when we say production, it's not production at all. It's all supply chain and we still -- we've referred in the past about the whack-a-mole of especially electronic components that go into many of our higher -- really high technology radios and E-Series meters and that situation is certainly improved. So we're at a point now where last quarter, I said that we had felt better than we had since this entire situation began and this quarter I feel better than I did last quarter. And our supply chain team would never say that the industry or the global economy is out of the woods on supply chain challenges, but it certainly is improving and that's what's been the primary limiter of us doing more, not production at all.
Rob Mason: Understood. Anyway to quantify what -- how much that is limiting you or would have limited you in the quarter?
Bob Wrocklage: So typically we don't disclose that. And one of the things that we typically didn't either was the backlog and the reason we keep telling you that is because we think it's important for you to understand that our growth isn't being driven by chewing down that backlog. So it's meaningful enough that we're talking about something now for a few quarters in a row that we've never talked about before.
Rob Mason: Ken, how the step up in gross margin sequentially was fairly noticeable? How much of that increase versus the first quarter? It appeared your mix -- sales mix was very similar, at least in terms of the products that you called out as being contributing to the quarter's growth? How much of that step up and change in gross margin quarter-to-quarter? Would you attribute to more narrowing of the price cost gap versus just again, your better supply, fewer interruptions, I guess in your production operations?
Ken Bockhorst: Yes, it's a mix of a couple of things. So the areas that we called out as our leading growth areas are of course the things that our best margin. So radios, E-Series and BEACON are some of the best margin lines that we have. So recovery there and growth there is helpful, combined with of course some of the price actions that we've taken coming through in the quarter. So it's a combination of multiple factors that I think the team has managed really well in difficult times.
Rob Mason: Very good. And I guess, I can infer as you've come through the quarter that again, the supply, you said, supply gets a little bit better as you come into the second half of the year versus perhaps where you finished the quarter, is that fair?
Bob Wrocklage: That is correct. That is correct. Yes.
Rob Mason: Okay, very good. I'll hop back in the queue. Thank you.
Bob Wrocklage: All right, thanks.
Operator: We now have a question from Bob Chernow from RBC. Bob, your line is now open.
Bob Chernow: Thank you. I have two questions, if I may. First, the -- there's a great deal of drought going on in the United States. And it occurs to me that a campaign to get people to use water meters would both be good for the country and also good for Badger Meter. Can you tell us what kind of efforts that you are either doing individually or through the -- your groups that you work with? And secondly, I've not heard very much about the Finnish acquisition you made a couple of years ago. Maybe you could enlighten us on that a bit.
Ken Bockhorst: Sure. Yes. Thanks, Bob. Yes. So on the drought conditions, one of the things that we called out in the prepared comments was the severe weather events. And what we have from a product and service offering that's been really well adopted here is our cellular AMI. And the fact that we have with that, also our EyeOnWater app, which gives all the individual users the ability to manage and understand how much water they actually use, has leak alerts and interaction that allows the utility to interact directly with individual water users within their community. And that's one of the examples of -- from an R&D point of view, where we've been out in front in our AMI offering with cellular as well as our developing software BEACON platform to really enable communities to do a much better job with their water use. There's independent studies that show that when people know how much water they use and they have access to that information, they naturally reduced by roughly 20%, and we're on the forefront of giving people that real-time information to do that. Secondly, -- and thanks, -- anything you could do to help push that campaign is appreciated. And then on the Swedish acquisition of D-Flow, that's been a really nice addition for us. It's allowed us to build out our ultrasonic line. So since we've acquired it, we released the larger, commercial ultrasonic meters, the three, four, six, eight, and we continue to build that up. We've incorporated that technology into our -- some of our residential meters and continue to go forward with that. It's been a source of stability for us as we've gone through supply chain challenges to own our own intellectual property on ultrasonic. So overall, it's also been a very successful acquisition added to AquaCUE before that and s::can and ATI now. And those are, in fact, the types of companies that are in our funnel that we're excited about.
Bob Chernow: Let me come back to the drought area, if I may. -- the kind of equipment that we have is very useful if people actually have your product or similar products. But many places, for example, in California are not metered what efforts are you making to ensure that all these communities are metered?
Ken Bockhorst: Yes, got you. Yes, got you. So we do everything in our power from a marketing effort and campaigns and talking with all the utilities to make sure people know that the technology exists to enable them to do a better job on it. We've seen -- this is where we talked earlier, a real steep increase in the RFP funnel and orders, a lot of the growth that we're seeing is around AMI. So the message is getting out the number of households that are un-metered in the entire U.S. is roughly 7%. So that gap is closed. But we're really seeing the adoption of technology on the 30-year or so percent of the market that doesn't have some type of communication technology on it. That's where the growth has really been and we're going to continue to see that in our view, accelerate.
Bob Chernow: Thank you.
Ken Bockhorst: Thanks Bob.
Operator: That concludes the Q&A session for today. I will now refer you back to Karen Bauer for further remarks.
Karen Bauer: Well, thank you, everyone, for joining our call today. For your planning purposes, our third quarter 2022 call is tentatively scheduled for October 19. I'll be around all day to take any follow-up questions you might have. Have a great day.
Operator: That concludes the second quarter 2020 Badger Meter earnings conference call. Thank you for your participation. You may now disconnect your lines.